Operator: Good day and welcome to the St. Joe Company Third Quarter Earnings Release Conference Call. This call is being recorded. Currently all participants are in a listen-only mode. You will be given a chance later to ask questions. At this time, I would like to turn the call over to the Company's Treasurer, David Childers. Please go ahead, sir.
David Childers: Good morning. Welcome to the St. Joe Company conference call to discuss 2010 third quarter results. I'm David Childers, Vice President and Treasurer and on the call this morning are Britt Greene, our President and CEO; and Bill McCalmont, our Executive Vice President and CFO. Before we start, let me remind you that matters discussed on this conference call which are not historical facts are forward-looking statements that are based on our current expectation. Actual results may differ materially. Forward-looking statements are subject to certain risks and uncertainties that are described in today's earnings release, and in our SEC filings. These filings are on our website at www.joe.com. Reconciliation of non-GAAP measures mentioned in today's call can also be found in today's earnings release. With that, I'll turn the call over to you, Britt?
Britt Greene: Thanks David. Before I get into the specific results, I'd like to take a few moments to touch on our history and our business. It's important to begin by explaining how we got to where we are today. Further majority of the last 80 years, there have been three major owner of the real estate in Northwest Florida. The Federal Government, the State of Florida and the St. Joe Company. Because of this other structure, when St. Joe became a seller real estate in the late 1990s, it was the first real opportunity for the Northwest Florida region to grow economically in the last 80 years. And since the region had not developed like the rest of Florida, St. Joe undertook every aspect real estate development and sales including obtaining land-use entitlements, master planning, developing, building and selling. In a little over 10 years, we developed successful and profitable residential and commercial projects, includes infrastructure, attracted regional and national businesses to the area and in doing so, contributed to regional growth and prosperity. Today, we operate under a chains corporate structure and with an extremely flexible balance sheet that support a more efficient and less capital-intensive business model. We have a reduced risk profile and the ability to be very opportunistic and adaptable in regard to the future. Because of the financial flexibility as well as the land in assets on our balance sheet and throughout the region, the ground work is in place to benefit our company and the shareholders for decades to come. We have the opportunity to extract this proportionate percentage of every new dollar to the area because we are a majority landowner that can provide for the region's growing commercial and residential needs. Additionally, most competitors of ours must acquire land at market price and title it and build amenities to compete against us. These development processes can take a long time for our competitors. Competitor advantage for St. Joe, that we have several communities who develop products ready for sale that prospective buyers can see. What's most important to know about our business is that our land holdings cannot be duplicated. We enjoyed vast acres of low basis land suitable for development in Northwest Florida. Like all businesses, we have been impacted by the global economic downturn and the impact has been especially pronounced in Florida. However, despite these challenging times, we are confident that St. Joe is well-positioned to succeed and to create long-term value for our shareholders. With that I'm pleased to turn over the call to Bill to discuss our results, Bill?
Bill McCalmont: Thanks Britt. Before I review the quarterly result, I want to comment on our accounting for long life assets. In particular, I want to revise some clarity regarding the detailed process we go through each quarter to ensure that our properties are valid appropriately and in accordance with Generally Accepted Accounting Principals or GAAP. As part of our quarterly review of all our long lined assets we perform an impairment analysis of our real estate holdings according to GAAP. This then tells the review of current market data compared to homes and home size lifted for sale and review of our economic models for our development projects. This review according to GAAP evaluates the future undiscounted cash revenue streams of a project, combined with the estimated future expenses and expenditures necessary to maintain and complete a project and compares these net cash flows to the carrying value of the project. These economic models are updated at lest annually. In the event these net cash flows exceed the carrying value of the project there is not impairment, to the extent the net cash flow falls short of the carrying value of the project impairment is reported to reduce the projects asserted value. We also review any events or changes in circumstances that would indicate that an asset might be impaired. This could include a change in the plans development of a project, the sale of a project or even the abandonment of a project. During this quarter's close cycle, as we have done in the past we conducted a top to bottom review our carrying values from long lived assets and have again concluded that we appropriately accounted for our long lived assets. We remain comfortable with accounting for our long lived assets and stand by the presentation in our financial statements. Importantly, our financial statements are a reviewed by independent auditors each quarter. Now let me discuss our third quarter results. For the third quarter of 2010 we had net loss of $13.1 million or $0.14 per share including pre tax charge of the $13.1 million or $0.09 per share after tax. This compares to a net loss of $14.5 million or $0.16 per share in the third quarter of 2009 which included pre tax non cash charges of $12.9 million or $0.80 per share after tax. This quarter we recorded a pre tax charge of $8.8 million as reserve for litigation involving a contract dispute for 1997, associated with our former Victoria Park community which we are appealing. We also recorded a $2.6 million charge from legal and clean up cost resulting from the Deep Water Horizon oil spill and $1.7 million of restructuring charges. In our residential business during the third quarter we saw 12 home sites across our resort community across our resort communities at an average price of a little over $271,000 and 9 home sites across our primary communities at an average price of a little over $57,000. In our commercial business during the third quarter we not only closed two land sales, but entered into a build-to-suit transaction as well. We sold 10 acres of the 115 acre Topsail development, our mixed used project near the west intersection of Highway 98 in County Road 38, Walking County to Wal-Mart. Wal-Mart paid $2.5 million or $250,000 per acre and will construct one of its new coastal prototype 87,000 square foot store at the location. Importantly, we retain approximately 220,000 square feet of entitled commercial land and 610 entitled multi family units at Topsail, ideally suited to penetrate from Wal-Mart's presence. Additionally we sold 3.7 acres in Bay County on US 98 for $1.2 million or $316 acre, this parcel was sold to bookit.com, an online travel agency for purposes of expanding there current office complex. As part of our commercial strategy to generate recurring revenues, we also entered into a build-to-suit lease with CVS for a 1.7-acre site that we owned in Port St. Joe. Upon completion of construction, we will collect ground and building rent under this long-term lease. Subsequent to the end of the third quarter, we also reached an agreement to sign a triple-net ground lease on a 2.2-acre site with Express Lane, a chain of convenience stores locations throughout the Northwest Florida and South Georgia. Express Lane will operate a gas station, convenience store and fast food operation on the site which is located in West Bay at the northeast intersection of Highway 79 and State Road 388 near the new Northwest Florida Beaches International Airport. Our rural land sales during the third quarter included the two transactions totaling 226 acres for approximately $726,000 or over $3,200 per acre. In September, we also conveyed 322 acres to the Florida Department of Transportation, as part of FDOT's purchase of land from us in 2006. As a result, we recognized $3.5 million of previously deferred revenue and pre-tax income this quarter. As part of this 2006 agreement, we received $46 million of cash at that time. We convey the land and recognize the revenue when FDOT is prepared to take title. We currently carry $40.6 million at deferred revenue on the book as a result of this 2006 agreement that is expected to be recognized in future periods. Forestry revenues during the third quarter was $6.8 million from the sale of 273,000 tons of sawtimber and pulpwood. Approximately 53% of these sales were to Smurfit-Stone pursuant to our fiber supply agreement. Looking to the future, we continue to pursue opportunistic alternative uses of our timberlands. Regarding our Resort operations, we experienced another difficult quarter due to the impact of the Deepwater Horizon incident. Occupancy and average daily rates were up dramatically throughout the region and our hospitality offerings were not immune to this matter of trend. The reduction in tourism across the region also reduced activity at our golf and our food and beverage operations. Marine operations were hampered by fishing closures and boaters leaving the area for waters to the South and East. Now let me turn to our agreement with Southwest Airlines. As previously discussed, our three-year agreement with Southwest Airlines commence on May 23rd, 2010 upon the opening of the new airport. We have agreed to reimburse Southwest that they incurred losses on the service during the firs three years of operations. Southwest is on record as stating that their service at Panama City has been profitable since day one and has greatly exceeded our expectations. As a result, during the third quarter there was no required reimbursement payment to Southwest Airlines. We added to the second quarter's surplus, we are now carrying a significant surplus for over to find any future shortfall in the fourth quarter. The majority of this cumulative surplus was earned during the third quarter summer's month despite the adverse impact at the region's tourism as a result of the Deepwater Horizon oil spill. Turning to our balance sheet. On December 30th, we had cash and cash equivalents of over $196 million, not including approximately $26 million of pledged treasury securities. During the third quarter, our cash position increased primarily due to receipt of Federal tax refund totaling over $67 million. These refunds were due to losses incurred in 2009. On December 30, we had debt approximately $38 million at which 26 million is completely offset by the treasury securities. $125 million revolving credit facility remained undrawn. Our solid balance sheet and efficient operating structure provides substantial financial flexibility allowing us to capitalize on real estate trend and the economic growth expected for our reason. Now let me update you regarding recent legal actions we've taken to pursue our claims arising from the Deep Water Horizon incident in the Gulf of Mexico. As you know the uncertainly of the long term of the financial impact caused by the oil spill has been reflected in our stock price, now we like many others in the region must see compensation for our damages from the parties responsible for this catastrophe. To this end we have now filed law suits in Delaware state court against Halliburton, M-I SWACO and Transocean, three of the parties responsible for the incident. If you have followed the incident in the news, you will recall that Halliburton was responsible for the cementing of the well; M-I SWACO was responsible for managing the use of drilling fluids to maintain well control and Transocean, the owner of the drilling rig was responsible for overseeing maintenance and drilling activities on the rig. We have asserted in our complaints that all three of these parties were grossly negligent in the performance of there duties and are all responsible for the blow out of the well and the unprecedented damage that followed. However, even as we pursue our oil spill claims we will continue to execute our business plan and pursue our vision for the company. Let me emphasize that despite the oil spill, we remain well position for long term success. Brit will discuss a number of our current initiatives.
Brit Greene: Thank you Bill, I'd like to now discuss our land holdings assets and opportunities. For the major drivers of opportunities in value creating for St. Joe over the coming decade is the recently opened Northwest Florida Beaches International Airport. Because of the new airport our region has now become much more assessable to the rest of the country in the global market place. The new airport is only a 15 minute drive to the white sand beaches on the Gulf of Mexico. For the majority of that drive you're traveling through St. Joe property. We have over 5,600 residential units and 4.4 square feet of commercial space entitled just in phase one of the west bay sector plan adjacent to the new airport, including our VentureCrossings Enterprise Center which I will discuss in a few minutes. But first it's important to understand our relationship with the airport authority. We donated land to the airport authority in restricted certain uses on that land via the land donation agreement in deed. The authority is also constrained by number of regulatory permit requirements. Consequently, the current development rights of the airport authority are limited in scope. The authority has permitted phase one specific aviation uses and any future phases require significant regulatory review and permitting approvals before the authority can deliver on any addition development beyond Phase I. Regulatory review and permitting includes that federal aviation authority, the army core of engineers in compliance with the national environmental policy act and the clean water act, all of which are federal agencies and approvals that require time and expense to work for them. The time frame established for future phases by the permits associated with phase one is 10 years, therefore any development beyond phase one is intended to occur after the 10th year or a modification to the time table associated with the future phases must be approved by a number of the local state and federal regulators and agencies involved in the approval process. Let me also discuss a lease we've recently signed with the airport authority. We've entered into a long term ground lease at an annual rate of $0.30 per square foot on an 11 acre parcel of the airport authority, providing us and our perspective customers immediate access to the airports taxi wise in 10,000 foot main runway. This agreement also provides us the time necessary to advance our development plans through defense connectivity. Let me now put to rest any views to the contrary. We have through-the-fence access rights clearly established by the land donation agreement indeed. These rights were approved by the Federal Aviation Administration and the Airport Authority recognized any development of this scale especially when dealing with large number of local and regional federal agencies, takes time and effort to get through the regulatory processes. We are currently documenting the mechanics of runway access through an agreement with the Airport Authority. We're also in the process of pursuing the necessarily development permits where our crew defense access including obtaining environment authorizations from the FAA, Army Corps of Engineers and the Florida Department of Environmental Protection. The ground lease for the Airport Authority allows us and our customers to have a mediate airside access and conserve as an incubator or a large growing user based which may eventually require expansion beyond the available airside land. Access to the runway, the ease of contracting with the single entity and are virtually unlimited Greenfield expansion capability give St. Joe a competitive edge when compared with other international airports in the country. To capitalize on our commercial entitlements within the West Bay Sector plan, earlier this year we launched VentureCrossings Enterprise Centre at West Bay. VentureCrossings included a 100 acres designated for retailed office and hotel uses, 300 acres for light industrial uses, and 600 acres for manufacturing, distribution and logistical uses. Site development has begun and vertical constructions schedule to begin in early 2011. Specifically on an office building that we will occupy as part of our previously announced corporate headquarters relocations from Jacksonville. We will also break ground this year on a 300-space long-term covered parking facility at the entrance to the new airport and break ground early next year on the light industrial building in Phase-II. We anticipate that many of our commercial projects and VentureCrossings will be structured as build-to-suit, joint ventures or ground leases providing us with long-term recurring revenues and cash flows. Let me now comment on other development opportunities. We will continue to have success from our portfolio, commercial and residential lands in spite of the recent oil spill in the Gulf of Mexico. Bill discussed our recent commercial successes and capital allocation. In our residential business, we feel that we create a very desirable and valuable product especially in today's market; our prospective buyers can see the difference and quality of the St. Joe community versus our competition. We have over 1,100 developed homesites in amenitized and well-maintained communities throughout our regions. Capital has been invested in these homesites. The dollars are in the ground, and as these homesites are sold we will recognize our revenue and receive cash. We are also investing new capital on our residential business as well. Due to the recent market demand for our new master-planned primary community Panama City Beach, next year we will break ground on Phase-I of Breakfast Point, our entitled 348-unit primary residential community in Panama City Beach. We expect sales of developed, lots to builders will begin in 2011 and builders will have their models and specs open and available by the third quarter of 2011. Breakfast Point is a fine example of value in economic, we can generate from our land and our invested capital. We expect Breakfast Point to have success similar to our Hawks Landing community in Panama City with profit margins in excess of 30%. We also have a vast inventory of entitled and unentitled lands located in many of the growth quarters throughout our region. The commercial square footage and residential units that show up on our tables as entitled or but a small subset of the acreage in our portfolios suitable for these future higher endeavor uses. For example our entitled land acreage does not include many thousands of acres along major actuarial roadways through out our region over a 100 mils of water front property. The entitled land acreage also does not include all of our developable lands within the west bay sector plan specifically. We approve in that we are successful in getting entitlements on our land, but we will not create permit maintenance burdens on St. Joe land at the wrong time. Real Estate development is about phasing in the highest and best use on a specific acre may change often as growth occurs through out the region. We understand the value enhancing benefits from the development of each parcel and are committed to entitling, selling or leasing the right parcels, but at the right time. The best way to experience our vast land holdings and understand our opportunities is to come visit and let us show you our properties and why we are so excited about our future. Over the past three years we have significantly enhanced our strategy and focus providing for a virtually debt free balance sheet. An efficient operating structure, a commitment for long term ownership of income producing real estate holdings and strategic asset sales. This was the right strategy to succeed during the recent national economic down turn and is the right strategy for our future. Our real estate expertise, financial discipline and highest and best used strategy has created positive economic returns on assets and invested capital for our share holders. This expertise discipline is strategy also enhance the value creation opportunities that lie ahead for our lands not yet entitled. As I mentioned earlier Northwest Florida is really for the first time finally open for business, thanks to the initiation of service at the new airport. Our focus is on creating recurring trends of income and maximizing the value of the land we sell, the region is prime for economic development with the right infrastructure now in place and the right support from any local region on national stake holders. It is because of all of this that we are so excited about the future for the region, our company and our share holders. Bill and I will now be happy to take any question that you may have.
Operator: (Operators Instructions) and we'll go first to Buck Horne with Raymond James.
Buck Horne - Raymond James: Britt, I really appreciate the details that you guys gave on the rights and permits associated with the airport land and what's adjacent to the airport there. I guess maybe for the benefit of ourselves and maybe the investors listening that may be not quite as familiar with the property, can you help us understand in real estate terms what kind of value you unlocked or what kind of extra acreage adjacent to the airport you unlocked with the Phase III site next to the airport? Maybe that will help simplify what you've unlocked in terms of value, related director to the through-the-fence access rights.
Britt Greene: Sure, maybe the best way to – I mean development through-the-fence is not unlike any other development aspect where we have invested entitled rights. And just like any – whether its residential, commercial development, it requires planning, design, engineering and permit approvals that's the process we're in currently. So that's the entitled right we have to go through the fence requires panning, design, engineering and permit approvals to go through that fence but what it unlocks is not only the 600 acres but approximately another 2,900 acres of continuous land within the West Bay Sector Plan zoning and even in the current detailed specific area of plan that potential for up to 37 million square feet of industrial in office. And I think when you look at that you compare the Greenfield opportunity in the arterial roads that service this area and the airport itself in the future expansion of runway capability at the airport and gate capability at the airport. It really is unique dynamic but the right cause exist, it is vested and simply not unlike anything else that we're doing we have to go through that planning, design, engineering process in order to engage the actual development of taxiways, truck routes or truck access.
Buck Horne - Raymond James: Okay. Just for clarification, are you experiencing or having any problems or delays with Bay County or the Authority or anyone else in terms of getting the vertical development permits for the VentureCrossings buildings? Is there anything to say that the completion of those buildings will be behind what you originally planned to deliver those projects in?
Britt Greene: No, we simply are in the same process we typically are. We've started the horizontal development for the road and the infrastructure which needs to get in place before we can access the site to do the vertical during this concurrent period of time, we're finalizing our design and engineering for the office building specifically in the light industrial building. Once we have the roadway and the infrastructure in place then we can service the pad that is developed and accessible to start the vertical which we expect to happen early 2011 and that we'd be occupying our main headquarters building by this time next year and the light industrial certainly is a smaller scale building and less build out so we would be available sometime in the – probably late second quarter or early third quarter of 2011.
Buck Horne - Raymond James: Okay. One more before I jump back in the queue. Just thinking about the residential projects you have ongoing and some of the things you're still in the process in, like RiverTown and maybe what you're starting in Breakfast Point in terms of primary use communities, just wondering, is there any estimate you can give us, either based on recent data points or other comparables just in terms of what you would think it costs to fully develop or even get those homesites ready to sell to homebuilders in places like RiverTown, whether Joe did it themselves or hired a third party to develop those homesites? What's a general idea of the cost to develop residential real estate in Northwest Florida?
Britt Greene: Well, in Northwest Florida there's a number of factors as they go into that. First of all, how amenitized is the community going to be? What's the price and product as associated with those amenities and infrastructure cost. So we have between primary and resort, there is a fairly broad change in terms of the develop low cost which were primary, I think you could be comfortable in using somewhere in the $30 to $35 range per lot for primary and because the resort community is our much smaller highly- amenitized that number would actually be incrementally a higher but still we would enjoy as we historically have a very good margin on our residential lot development.
Buck Horne - Raymond James: Okay, so $30,000 to $35,000 per developed lot and for primary use?
Britt Greene: Yes, yes.
Buck Horne - Raymond James: Okay, all right. Thanks, guys.
Operator: And we will take our next question from Sheila McGrath with KBW.
Sheila McGrath - KBW: Good morning, I was wondering if you could address the cash burn outlook and the progress on ramping towards recurring revenue streams. I think the cash burn is really the major risk that investors hone in on. How much cushion or flexibility does that almost $200 million of liquidity provide, Joe?
Bill McCalmont: Hi Sheila this is Bill, yeah as you mentioned at the end of the quarter we had a little over $196 million of cash on the balance sheet and of course our $125 million credit facility is undrawn at this time providing a great deal of liquidity to allow us to pursue our economic development goal. As far as the cash burn rate goes, if you look at our cash SGNA on a year-to-date basis and you exclude the one time charges related to the Deep Water Horizon incident and the litigation settlement that we recorded this quarter, you'll see we're down about 21% year-over-year, so we continue to focus on reducing the over all cash burn rate of the company and as you know we restructure ourselves, we streamlined ourselves and so with our strong balance sheet and our much less capital intensive business model, we think we are well positioned to take advantage of these opportunities in the future.
Sheila McGrath - KBW: Okay. And could you remind us also the dollar per acre that your land is carried on your books at, and if this, in your opinion, would come into play when looking at the amount of impairments Joe has taken versus more traditional homebuilders?
Britt Greene: Yes Sheila that's correct, we carry – we're right at $110 an acre carrying on the puts. And I'll let Bill speak to your second part of that question.
Bill McCalmont: And that's the historical legacy land that Britt's referring to, so obviously that reduced carrying value as compared to our after market price gives us a significant advantage compared to some competitors. I think when talking about impairments and obviously the comments I made during the prepared remarks support - are accounting for the carrying value of our assets, but when you look at what we've done during the three year period 2007 through 2009 we have taken impairments, we've taken almost little over $196 million of impairments during the three year period of time as we've evaluated the carrying value each quarter as we do every quarter and made the determination that we needed to write down certain assets at that point in time.
Sheila McGrath - KBW: Okay, one more question and then I'll get back in line. But can you tell us what your plans are for your landholdings next to the commercial acreage you sold to Wal-Mart, how much your holdings are, and if you plan to bring in a joint venture partner or sell the remaining acreage there?
Britt Greene: One of the things Wal-Mart corporate typically buys their land, otherwise we would have approached it from a ground-lease stand point, but certainly Topsail is in a great location, there is a lot of completed development, so in effect it's as mostly infill retail opportunity and multi super family development opportunity. So, Sheila, I think our -- not I think, I know our strategy going forward is about where we can go ground lease and build-to-suit opportunities at Topsail on the retail component, we're going to do it, we think there is a – this is another well located opportunity, not unlike what we have outside the airport or over near Pier Park in Panama City Beach. And the more we can do in that mix – then we will. We're not leaving it for whatever reason we believe there is a real draw like Wal-Mart where we need to retail our property. We'll do it at marketplace. The 610 multi-family units we either be through a joint venture or outright sale of the land but certainly we're going to investigate recurring income stream opportunities first as our strategy, with backup retailing the land and market value as a secondary.
Sheila McGrath - KBW: Okay. Thank you.
Operator: And we will go next to Jim Wilson with JPM Securities.
Jim Wilson - JPM Securities: All right. Thanks, good morning gentlemen. I was wondering, in the airport vicinity, any of the basic services for Southwest, whether it's near the basic catering, etcetera, what has come in so far and what is on the horizon? I would think that would be some of the, obviously, the most near-term general and industrial space needs.
Britt Greene: Well, I think the near-term as a lot of our conversations are focused around the economic cluster group that's already here, which is aviation, aerospace and defense contractors. There's many that may not know this but there's 1,900 defense contractors service in the seven military bases in our region and that's our focus and attention because a number of them have expressed interest and consolidation or actually expansion they need to be here, it's not that they could be somewhere else in the country; they need to be here to be able to continue the contract with the Department of Defense on a number of research development, maintenance or repair type facilities and needs. So the immediate service is our focus there. There are a number of other logistical distribution sites, our stations that we're having but right now we have a fairly robust field of opportunity, given the local companies that are in place.
Jim Wilson - JPM Securities: And then I guess the other one is just, any other airline discussions out there that might be coming to the airport, well, Delta or any others?
Britt Greene: Well, Delta expanded to 11 flights. Southwest has eight, so there's a total of 19 flights. Southwest's announcement of their acquisition of AirTran, we see as a great positive. Their aircraft, they have a number of 717 to a smaller aircraft they can even bring in additional flights from existing connection points or even expansion to a smaller community connections but suffice to say we think Southwest announcement on AirTran was a big benefit to the new airport and the region as a whole. So I think we're excited by that but I'm not aware of any other current conversations with other airlines at the airport.
Jim Wilson - JPM Securities: Okay. All right, thanks.
Britt Greene: Thank you, Jim.
Operator: And we will go next to Michael Gaiden with Morningstar.
Michael Gaiden - Morningstar: Good morning, gentlemen. I was wondering if you could please discuss any key learnings from the CVS and Express Lane lease deals, and if and how these contracts inform your broader plan for leasing amongst your landholdings.
Britt Greene: Well, I think if anything, it tells us there is a market out there when you can service it is the right product in the right location. And for CVS, it was important that they want to be in the downtown Port St. Joe. They've been there, they want to expand the size of their store and we have the right location for that to happen. With regard to the convenient store and gas station, certainly provided them with the most appropriate site location to not only command but current traffic that use Highway 79 which if you look at the map as a major North-South arterial from the beach north to I-10 which has been predominant amount of this in four lane, so that corner plot 388 is the access – the main arterial access in the new airport. So putting them -- putting a product out there to put a convenience store at that location that only currently captures the traffic for tourism, but it captures the traffic as it grows at the airport, so a real benefit. And I think the real earning is that when we have the right product at the right location that we can command conversations with the regard to build-to-suit and ground leasing opportunity.
Michael Gaiden - Morningstar: Understood. Thanks, Britt. Can I also ask, related to VentureCrossings, can you please discuss more specifically the planned timing for the opening of the paid parking facility adjacent to the airport, as well as the flex space there, and related to the flex space, what type of customers you might initially target?
Britt Greene: We – the covered parking facility is something we've looked at and reacted to as a result of the over park conditions that are currently at the airport authority, they're adding more surface parking, but we felt that given the long term parking aspect of what's happen in the airport, a great opportunity as people are driving from greater distances, we used a low cost carrier base that's at the new airport. So that and parking facility we're expected to have opened by late first quarter – early second quarter for spring break, that'd be 300 in covered parking spaces and we're excited about the income stream that will come from that facility and the ability to expand it if necessary with contiguous lands. With respect to the light industrial, there is a number if users we're talked to who are looking for short term near small incubator office industrial space as they think about there expansion needs in the region, then again I mentioned earlier aviation airspace and defense contractors, who want to expand, test the site or know that there is a bigger facility coming. So we see a number of users going in there who will have an immediate need and then if successful in that pre leasing – we have second building ready to go of – with similar design and size that we could put in the ground, if we find out lease up is going as quickly as we expect. So we thing big benefit to service the area, in fact we're the only once out there who can develop that type of product near the airport and would see a number of current interest patterns in the right direction.
Michael Gaiden - Morningstar: Thanks for that color, Britt. And when might that flex space come online, next year?
Britt Greene: I'm sorry, that should be by July. Parking by April, light flex space by July and our headquarters building by November of 2011, all coming in 2011.
Michael Gaiden - Morningstar: Great, Britt. Thanks very much for that color. Can I lastly ask, before I bow out, we spent a lot of time on the call talking about the commercial side of the business. Could you briefly address qualitatively the health and outlook on the residential side? Certainly accepting the macro headwinds as well as the regional issues associated with the Gulf oil spill, could you maybe talk about how you see that segment recovering in the next several quarters? Thank you.
Britt Greene: Yeah, And, listen, the oil spill created uncertainty in the marketplace, and more at the resort area, in the resort side of it. I think that kind of continue to be slow, but its starting to show good signs of starting to move a little bit off of what everybody has considered to be the bottom that we are bouncing around, but it – don't mistake me here, its going to be a slow. On primary, we're seeing interesting little ticks in the market in the submarkets, like Panama City Beach where there is a limited amount of available new product in the marketplace where primary, residential and so that's why we have started the process by which we will start construction this one there with delivery of homes in the third quarter of 2011. Macro, the region itself I think residentially both primary and resorts can continue to be a slow-paced growth. I think it's not unlike – there's parts of Florida South of I-4 that will probably be taking longer period of time to ramp up and North I-4 in the State of Florida will be a bit shorter time but less assured, it's going to be a slow-paced. It's why this company is not totally dependent on residential but have the ability not only in the commercial aspects to drive new jobs, those new jobs will drive a need for increased housing which is a great benefit to us. And we think that we are primed for that because there's not a lot of standing inventory currently in place in the market that we served.
Michael Gaiden - Morningstar: Great. Thanks, Britt.
Britt Greene: Thanks Michael.
Operator: (Operators Instruction). We'll go next to a follow-up from Buck Horne with Raymond James.
Buck Horne - Raymond James: Thanks guys. I appreciate taking all this time. I was wondering if you could help us understand maybe the pricing structure you guys are using for some of your residential land sales or how you're working with homebuilders or offering them certain types of incentives to help preserve their capital in this tough time. What are you doing to help kind of motivate and keep homebuilders coming to you and continue construction as you think about a Breakfast Point, for example?
Britt Greene: Well, may be not even specifically Breakfast Point but the strategy as a whole.
Buck Horne - Raymond James: Sure.
Britt Greene: One other ways to help builders is to provide them a low entry point into the acquisition of the develop work from us. After then, to go vertical on home building will be ideal that will give what is typically done and historically been done in a number of areas in the country. It's a true-up. Back in participation in the sale of that home whether it's a determined percentage and typically in the marketplace that runs 15% to 20% of the back in value of a home, in which case that will give a true-up against what they originally paid for the like. And those respects will get us to our targeted initial lot price that we have in our models where the idea that as the market grows, our price and our lots grow and it's our protection against any click movement in the marketplace as we release lots to the builders. And whether we are doing at Breakfast Point or other communities, we typically have found great success in that program because it limits the amount of capital the builder needs to output initially with the idea that he knows at the point of sale and as part of the closing cost, we'll get reimbursed through the balance of the lot. So it's a good program, it works well and it's a great initiator, especially in these slow times.
Bill McCalmont: Yeah. Buck, I think that's an important point with initiator points as activity is generated in our residential community, that it's been our experiences that will be the more activity in health accelerated price appreciation overtime. So we focused on a small number of lots with builders to generate that activity to get the vertical construction started so that we can generate long-term price appreciation in these communities.
Buck Horne - Raymond James: Great. Also, just one last one. If I look at some recent maps, that I think St. Joe still owns quite a bit of waterfront real estate, either directly on the Gulf or the waterways or other places. But I realize not a lot or maybe not all of it has necessarily entitlement. So I was just wondering if you could refresh our memory maybe on some of the waterfront real estate that may not currently have residential entitlements today?
Britt Greene: Sure and there is a good portion of it left, I mean – I think those people know about WaterColor or WaterSound Beach and the waterfront, and WindMark Beach, and even RiverTown, with St. John River water frontage, but in addition we still have 90 miles of bay and estuary water frontage on our property and in addition to that there is little over 75 miles of intercoastal water way frontage. We still have five and a half mile of white sand beaches left to develop and 30 miles of Gulf beach frontage that maybe doesn't have white sand beach but its still Gulf frontage and then in addition to that's just as importantly not just residential but both residential and commercial, its 10's of 1000's of acres with miles of road frontage and major arterial road fronts. And I think those are - it's the scale of what we have and the contagious holding of what exists for us and even within the 400,000 acres, within 50 miles of the cost, its important if you look at Florida historically, in the past 100 years, 80% plus of the population in the state of Florida lives within 15 miles of the cost and we happen to have a good probably in fact the only land owner that has that much contiguous land near the coast. Well certainly in the state of Florida but even in the Gulf of Mexico along the eastern seaboard, but we believe in Florida, like we're committed to delivering long term share holder value and we think we are well positioned with our land either – whether its entitled currently or it'll be entitled in the future.
Bill McCalmont: Yeah Buck, this is Bill, I also think its interesting when you look at the St. Joe land holdings it's difficult to see the inherent value of those land holdings jump off a spread sheet for instance because that's not the way we value the company. Our values in those land holdings, in those water front properties, in the residential communities that we're developing in the infrastructure that we're already invested so there is a lot there that really almost needs to be seen to, solely appreciate and clearly doesn't jump off a speared sheet.
Buck Horne - Raymond James: Thanks, Bill. I'm sorry, just one last one is, can you spend a minute on the litigation reserve for Victoria Park this quarter and just what that relates to, and what does that reserve represent exactly?
Bill McCalmont: Sure, it extends from a 1997 contract dispute related to the purchase of land for our former Victoria Park community and the sellers of the land asserted that they were owed more money for the land pursuant to the purchase price mechanics in the contract and the case of that has been pending for years and finally went to trial in September. The judge ruled in favor of the plaintiff, an $8.8 million verdict. We are appealing that verdict and we expert that appeal to be heard within the next several months and we've appealed to the Florida court of appeal, so it essentially a contract dispute related to land that were not developed by St. Joe inside the community.
Buck Horne - Raymond James: Perfect. Thanks, gentlemen.
Operator: And we will take a follow up question from Sheila McGrath with KBW.
Sheila McGrath - KBW: You've mentioned the ground lease that you have at the airport at $30 a square foot. I'm just wondering if you think that's a good barometer for us to use for expectation on ground-leasing around the airport, or is there another metric or rule of thumb we should consider for comparables?
Britt Greene: Well first its $0.30 not $30.
Sheila McGrath - KBW: Oh, no, I said -- I thought I said $0.30 a foot, right?
Britt Greene: Actually $30 but – its $0.30 a square foot. I think where we saw based on cost at other international airports and as an acceptable market price for the acreage that we were leasing from them. In terms of the metrics for our property, I think we're going to see a range depending on location size of the track, the land size of the building that will go on that parcel. So I would be careful not to use it as a specific perimeter but one that we will look at depending on whether registering ground lease or joint ventures or build-to-suit and so I'm not giving you the exact answer you want. I think it's a good perimeter for the land that's next to a taxiway and the runway. I think when it comes to we're going to look at the economics of each deal that we do and put the most aggressive market price we can on our land.
Sheila McGrath - KBW: Okay. Well, on the ground lease for the convenience store, can you give us an idea of -- are there increases, annual increases, how that's kind of structured?
Bill McCalmont: Yeah, Sheila, this is Bill. It's a 15-year initial term with the rent fixed for the first 10 years with an escalator after that 10-year period of time there are five, five-year on newer options that you show a 10% increase over the previous and as we valued that land that we put into the ground lease when you look at it from the overall valuation perspective. We were very comfortable with the per-acre price that is equated to.
Sheila McGrath - KBW: So you take the per-acre price, and around what kind of yields are you looking at versus – your estimate of the per-acre price versus the rent?
Bill McCalmont: We used a valuation here that would relate back to essentially a plus or minus $300,000 per acre price of the lands.
Sheila McGrath - KBW: Okay. And can you reminder us of the capital that you are investing in both the CVS and the parking lot?
Bill McCalmont: Yeah. the CVS build-to-suit is on land that we owned in Port St. Joe. So the total investment in the vertical construction there will be something over $2 million although we valued that land at about $850,000 on that slightly over two acre-size. So what we see there in terms of yield for us on the hard cost that we will invest going forward is in excess of 12%. Obviously, that excludes the land value.
Sheila McGrath - KBW: Okay. And then you did announce in the quarter a new hire on economic development side. I was wondering if you could discuss the new hire and any noteworthy progress on conversations with clients at VentureCrossings.
Britt Greene: Sure. We did hired Neal Wade, who had previously worked at St. Joe. And then he laughed and went to the State of Alabama where he was the Head of Economic Development, still our track record considered one of the best in the country when it came to economic development. Neal is now with us. He started officially this week and we're pleased by the contacts that he brings with us and the ability to accelerate conversations we're having with a number of different users for VentureCrossings, and even offsite opportunities outside our VentureCrossings that we may pursue in the commerce Parks.
Sheila McGrath - KBW: Okay. Last question. I know the mantra is really to preserve cash. But given the stock has slid down quite a lot recently, well below many opinions of the real estate value, how would you view a share buyback at the current levels?
Bill McCalmont: Well Sheila if you know we still have a share buy back authorization in place from the board of directors, we have not during the third quarter, consummated any buybacks. And that would be something that we might consider in the future, but I think that as we will get some of the other opportunities we will have to invest capital, we will have to weigh a share by back versus those opportunities to invest capital profitably for the company.
Sheila McGrath - KBW: Okay. Thank you.
Operator: And that concluded the question and answer session for today, at this time I would like to turn the conference back over to Mr. Britt Greene for any closing remarks.
Britt Greene: Thank you. We are confident at St. Joe's well position to succeed and our prospects remain strong and our properties and our company to be attractive investments. St. Joe is focused on creating the long-term value and we believe that we have a very bright future ahead and appreciate your time and consideration this morning. Thank you.
Operator: And this concluded today's conference, we do thank you for your participation. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!